Operator: Welcome to the K+S conference call regarding the publication of the quarterly report Q1 '21, hosted by Dr. Burkhard Lohr, CEO; and Thorsten Boeckers. [Operator Instructions]. Please note on Page 2 of the presentation, you will find a disclaimer. I am now handing the call over to Dr. Burkhard Lohr to present the figures. Please go ahead.
Burkhard Lohr: Thank you, operator. Ladies and gentlemen, welcome to our Q1 call. Before we start with the Q1 results, I would like to comment on our latest achievements. Contrary to the expectations of some observers, we completed the sale of our North and South American salt business to Stone Canyon Industries on April 30. K+S has implemented the most decisive component of the picket of measures announced in December 2019. This is an important milestone in the planned reduction of debt. The net proceeds of around €2.6 billion will be entirely used to reduce debt. Accordingly, the level of indebtedness will improve significantly. The enterprise value amounts to $3.2 billion, corresponding to 13.4x 2020 EBITDA, and the amount was paid entirely on the closing date. Mark Roberts left the company with closing. We would like to thank Mark for his significant contribution during the course of his 29-year career with K+S. As a dedicated leader, he played a decisive role in shaping K+S, and we wish him success in the future endeavors and all the best personally. Since April 1, Holger Riemensperger has been responsible in the function of COO. We welcome Holger and look forward to working together with him. And now ladies and gentlemen, let's turn to Slide 4 for the Q1 results. Looking at the results of the continuing operations, we achieved higher revenues and a higher EBITDA year-on-year. Although we have seen strong price increases on MOP especially since beginning of this year, our average selling price in agriculture was slightly below the level of last year's Q1. Due to the favorable winter weather, we achieved a strong increase in de-icing volumes by 1.1 million tonnes to 1.3 million tonnes in the first quarter. Strong demand and higher product availability also resulted in increased sales volumes by 100,000 tonnes in the agriculture segment. Higher freight rates and energy prices could be more than offset by strict cost discipline and positive effects from currency hedging. Following our impairment on potash assets last year, we will see value fluctuations on the assets quarter-by-quarter. Because of higher potash prices, we increased the value of our potash assets by €180 million. This was the reason for a strongly increased adjusted net profit. Q1 free cash flow was burdened by higher funds tied in working capital as well as the cash out for the SG&A restructuring project after being boosted by the sale and leaseback of the office building in Kassel in Q1 last year. Accordingly, it amounted to minus €15 million. Now please turn to Slide 5 for a closer look at the agriculture market. Since summer 2020, we have observed significantly rising prices for the main club commodities. This was due to poor global harvest last year, notably in China. Consequently, falling stock to use ratios, mainly on corn and soybean have triggered this price development. With higher agricultural prices, farmer's incomes and their prospects have risen significantly. Although with strong demand, farmers switched from a cost minimized through a volume optimized mindset with very good affordability. Please turn to Slide 6. Following the very good market conditions in agriculture, we have seen a -- continue to see strong demand for potash fertilizers in more or less all global markets. We now expect global potash sales in 2021, including 5 million tons of specialties, to reach a record level of between 74 million and 76 million tonnes, especially the price for granulated MOP in Brazil has risen by more than $100 per ton since the beginning of the year. The Indian contract price of $247 per tonne agreed at the end of January was adjusted to $280 per tonne, only 2 months later. This adjustment was made after the announcement by the main potash producers to refrain from supplying at the initially low contract price, which didn't reflect the market situation. Because of the new India contract, prices in the other Southeast Asian markets also increased. With further increasing product availability from our Bethune mine, we can also benefit from the high price level in the U.S. Therefore, our flexibility as only potash producer with production sites in 2 continents is paying off. We started with a strong performance of our de-icing salt businesses in Q1. Already in January, the winter weather in Europe was above average, and especially in February was a record month in terms of the icing sales volumes. Even at the beginning of April, we had core days with snow and night frost. We are, therefore, confident to see good early field business in the next month as well. In our pharmaceutical applications and products for the food industry, we saw COVID-19-related lower demand in Q1 compared to a normal year without pandemic impact. At the same time, the chemical industry recovered strongly, and we benefited from higher sales volume, which further increases the consumer products executed the already strong business from last year's Q1. Now please move to Slide #8. We now come to our outlook for the current year 2021. I already described the positive market environment for fertilizers. We are, therefore, optimistic of achieving moderately, not only slightly higher average prices for our agricultural product portfolio year-on-year. We continue to expect sales volumes in agriculture to rise. After a good winter, we expect more than 2.6 million tonnes of de-icing salt sales for the year as a whole as the notable savings of the SG&A restructuring cannot fully compensate for the overall rising costs, especially for freight and energy. Currency effects will also have a negative impact. Overall, we expect EBITDA from continuing operations to increase to a range of €500 million to €600 million in the current year, which is €60 million more than in our last guidance. This continues to include the one-off book gain of around €200 million generated at the closing of the REKS joint venture. Our adjusted free cash flow, including the cash-in from the sales of the Americas operating unit, will be significantly above €2 billion. Now our free cash flow without these proceeds for 2021 is still expected to be negative. Please turn to Slide 9 for our all new strategy. We revised our vision and mission, including our mission statement. On this basis, the ongoing strategy process has been launched. Our aim is to complete it by late summer of this year. Today, I will, therefore, focus on the key aspects of our strategic work guiding us. Our new mission statement is, "We Enrich Life For Generations." This clearly demonstrates our commitment to making the great resources of nature available in an environmentally responsible way to create value and help for people. Our range of products and services will be developed for generations to come. The following 5 principles reflect our approach. And therefore, please turn to Slide 10. We ensure nutrition, health and safety; we enable the success of our customers; we are committed to sustainable mining; we leverage our unique infrastructure for economic efficiency; and we act as a partner with our communities. In developing our new strategy, we are focusing on the following 4 key aspects. First, we will make our existing business even more robust. By 2023 at the latest, we want to be capable of generating a positive free cash flow at each of our production sites, even at low potash prices. We are not only focusing on cost efficiency, but also on optimizing our product and regional mix. First measures will already have been implemented by 2022. From 2023 on, our capital expenditures will also stabilize again. This year and next, however, will be once again has to face high environmental expenditures mainly due to tailings piles expansion. Second, we will continue to further develop our existing business, for example, in the fertigation business. Third, we will tap into new business areas. For this purpose, we want to leverage our unique infrastructure in particular. Our future joint venture, REKS, is already impressively demonstrating the potential of this approach. And fourth, our climate strategy. Over the past 30 years, we have succeeded in reducing our CO2 emissions by around 80%. By 2020 -- by 2030, we have set ourselves the target of reducing our CO2 emissions by a further 10%, using our own resources. At the same time, production is set to rise. Technically, we are able to reduce CO2 emissions to 0, but this requires a competitive price for green energy. Ladies and gentlemen, this concludes my presentation, and we are now happy to take your questions. As usual, one by one, please. Operator, please open the line for our Q&A session.
Operator: [Operator Instructions]. First question this morning comes from the line of Christian Faitz from Kepler Cheuvreux.
Christian Faitz: I have a couple of questions. I'll ask them one by one. First, with the Brazilian agro market expected to be very dynamic heading into the new season, did you shift some of your Bethune capacity from China to Brazil? And what is the volume development at this point pertaining to shipments into North America?
Burkhard Lohr: Yes. Thank you, Mr. Faitz. Yes, we are, of course, trying to optimize values. And that means we ship whatever we can in areas with high netbacks and, of course, respecting our customer relationships. Bottleneck is the capacity of our granulation in Bethune, which is still in ramp-up and that's why we are already shipping all we have into the Brazilian market. And we will double the volume into the U.S. coming from close to 100,000 tonnes, and we'll end up this year with something slightly more than 200,000 tonnes. So that's the maximum we can do for the time being.
Christian Faitz: Okay. Perfect. Then another question, would you please elucidate the latest legal proceedings pertaining to the mining based prosecutors?
Burkhard Lohr: Yes. That is easy, although it doesn't look like that in the press the prosecutor office has closed the investigation against our deep well injections of the past, and that's the full story. Unfortunately, the press has made much more out of it, and it looks like the whole story will start again, which is not the case. It's closed, finally closed.
Christian Faitz: Okay. Great. Perfect. The third and final question, please. Now that you have the roughly $2.6 billion cash-in from Americas, can you give us an update on your discussions with creditors about the potential early retirement of some of your outstanding debt?
Thorsten Boeckers: Yes, Christian, it's Thorsten. We have already paid back the outstanding amount of the drawn amount of the RCF of the term loans we had. We have also paid back the matured schuldscheindarlehen. And we are county in the process of giving back, let's call it, giving back, canceling the KfW line, which was never drawn. And we are also in the process of contemplating of how to use -- how to make best use of the remainder of the proceeds. But I don't want to go into details what instruments we will or will not use. That's something we need to analyze in detail, and we will be -- we will do in the next couple of months.
Operator: Our next question comes from the line of Lisa de Neve from Morgan Stanley.
Lisa De Neve: So my first question, and I will ask you sequentially related to the EBITDA building blocks for 2021. And I'm most interested in an update on the raw material inflation component. So last time, you've guided to $70 million for freight and energy. Is that -- does that still stand? That's one. And two, on the view...
Burkhard Lohr: Can we please answer one by one?
Lisa De Neve: It's still the first question. I'm sorry, guys.
Burkhard Lohr: Okay. Then go ahead.
Lisa De Neve: An update on the raw material inflation and how that fits into the EBITDA bridge? And on the EBITDA bridge, whether there could be more upside to that if potash prices continue to be trending upwards? That's the first question.
Thorsten Boeckers: Yes, Lisa, when it comes to raw material, this is not the position where we saw the most inflation. The most inflation when you look at Q1 over Q1 was in freight and energy, price-related and material. It's less a question of cost inflation, it's more a question of availability of product. I would never thought or you would probably never thought that lack of wood in Europe would affect us, but it does when it comes to the usage of pellets, for example, so our procurement organization is currently managing the product flows and support material flows at best. But this is more a question or more an issue for us right now than the sheer cost inflation. We see normal cost inflation for now.
Lisa De Neve: Okay. That's super helpful. And can you just also explain why your European poly-specialties were sequentially lower? I mean, what's driving that? Is it product mix or is it something else?
Thorsten Boeckers: No, it's indeed product mix. When you look into the details of the fourth quarter, we have a lot of specialties, higher-priced specialties we shipped into overseas markets. And this turned around in the first quarter. So less specialties into overseas markets, a little bit more specialties in the European markets, but this is where the difference between the Q4 price and the Q1 price comes from mainly.
Lisa De Neve: Okay. Great. And then last question, I'll jump back into the queue. Can you give us an update on the wastewater permits? And to which extent you will require one in 2022?
Burkhard Lohr: Yes. As you might know, the deep-well injection will run off by the end of this year. And we are working on the new solution to handle with this water -- especially the production waters to deposit them in an old mine called Springen. The door is wide open because the necessary regulation between Thuringia and Hesse were made in December last year. And now we are working intensively with the authorities in Hesse and Thuringia to get the permissions. And we are very optimistic that this is going to happen soon. And that we will then able to start deposit the water into Springen, the mine -- old mine Springen from 2022 on. And it's not even required by January, February, March. Usually, we did not even use the deep-well injections in the first quarters of the year. So if we get the permission by May, we are still very fine. But it's all green.
Operator: We now have a question from the line of Markus Mayer from Baader-Helvea.
Markus Mayer: I also have three questions, I'll ask them one by one. First one is again on the EBITDA guidance bridge. On the freight rates, can you give us some help how your assumption for the freight rates for the full year has changed, if there was any change?
Burkhard Lohr: So what we are expecting -- I think it's easier to give you a full picture. We are expecting to see roughly €40 million higher freight costs in total, only price related, than in 2020. So that is the biggest cost item, and there is no change against what we said in the past.
Markus Mayer: Okay, okay. The second question would be on this €100 million value fluctuations in plant, property and equipment. I think it's hard to -- for analysts to assess how this could fluctuate then, and most likely also the potash price and the demand environment. But is there a chance that you can give us a sensitivity analysis for such value fluctuations?
Thorsten Boeckers: Markus, I wish I could. I can tell you, we are as prudent as you are with this volatility on our balance sheet below the EBITDA line. We have to make -- when we did the impairment, we cut into PPE because there was not much goodwill from the CGU potash and magnesium available. So we cut into PPE. And according to the IFRS rule, we have to do the detecting every quarter. And unfortunately, we will indeed see volatility moving along with many input factors. Pricing is only one. Prices would grow now with the Q1 developments but also FX developments and costs and CapEx, and you name it, you change it. So we have to get used to this, unfortunately, and it's really -- sorry, for now it's not possible for me to give any guidance on this. We have to follow this IFRS rule, and we will. And -- but we cannot give you any guidance on that for now.
Markus Mayer: Maybe as another question, there's also no chance that you can change its reporting or those obligations to do so?
Thorsten Boeckers: Only if we change IFRS rules, and that's not now.
Markus Mayer: Okay. Good. Okay. Then the last question is, again, on the guidance. If I remember correctly, you have now 2 million from year higher potash demand guidance or assumption. Is this 2 million higher demand coming from MOP solely? Or is it also coming for SOP as well? And for most, which region is decided on coming from?
Burkhard Lohr: Yes. Thanks for the question. So we are very happy to see the development of the market and the 2 -- I think we are in line with our competitors expecting a higher market development or higher market demand than last year, and last year was already strong. And this comes mostly from MOP, mostly from South America and Asia. And yes, that leads to the fact that all producers are very busy and have high utilization rates.
Operator: Our next question comes from the line of Alex Jones from Bank of America.
Alexander Jones: Two, if I may. The first one is around CapEx. You mentioned in the prepared remarks that environmental CapEx will still be high in 2022. Will it come down at all compared to 2021? Or should we be expecting a similar level of environmental spending in this year?
Thorsten Boeckers: Alex, for this year, we will remain on approximately last year's level, which was a bit more than €400 million. It will go down over time. We will see the first decline certainly in 2022 and another step down in 2023 then. But for this year, it remains at last year's level.
Alexander Jones: And second question, a little bit more longer term. I know BHP is scheduled to make a decision on the Jansen project in the middle of 2021. So I'd be interested in your thoughts around that decision and what impact of project approval, in your view, would have on the market longer term?
Burkhard Lohr: Yes. That's an interesting topic, and it pops up, felt every time this year. But first of all, I would like to stress that this shows that markets where we are already in and with a very good position is obviously a very attractive market. And I, of course, cannot judge on how the decision would look like, but we are quite relaxed because even if they would decide to continue, that would not lead to significant additional volumes before, let's say, 2027. And then they should not -- even then they would not face a significant delay, as you know how big projects could look like. So it's quite a while ago or it's still a couple of years to go. And if you see how the market has developed over the years, let's take the step-up from last year to this year, this is one full Bethune mine that we have seen as additional demand. So the world will look differently than today in 2027.
Operator: We now have a question from the line of Michael Boam from Sona.
Michael Boam: Three questions from me. Firstly, can I just confirm that no income has yet been booked from the REKS JV?
Burkhard Lohr: Correct, correct.
Michael Boam: Or when will that take place?
Burkhard Lohr: Yes -- I can hear myself. Can you please mute for a second?
Michael Boam: Sure.
Burkhard Lohr: Yes. Okay. So there are no earnings recognized from the REKS transaction. And here, we are, again, dependent on external offices, in this case, the EU Antitrust offices, but we expect the close to see in summer this year, unchanged.
Michael Boam: Okay. My second question, you haven't broken out the EBITDA by segment, industry and agriculture. Can you give me that split, please?
Thorsten Boeckers: Yes, Michael, it's also changed with Q1 reporting because we do not look at EBITDA any longer. The company is now much smaller after the sale of the OU Americas and only OU Europe is left. And given the nature of our business and the production setup, we do not steer the company on this basis anymore. So we won't have these numbers in future, neither internally nor externally available.
Michael Boam: Surely they're internally available, you must know what you're making in terms of profitability at -- in the agricultural, so...
Thorsten Boeckers: Yes, we do. But not certainly on an EBITDA basis.
Michael Boam: Okay. And then in terms of your guidance, which again appears low, given the pricing environment. Can you share with us what your assumptions are for pricing in terms of your guidance? I mean, I come up with a number pre-REKS of around €450 million of EBITDA for this year. And I'm just wondering if I'm missing something? Or are you just continuing to be very conservative?
Burkhard Lohr: Yes. That is always difficult to assume, the development of pricing for a couple of months. You have seen the high volatility and I believe the volatility will continue. But what I can tell you is we have -- we are expecting moderately increases of the prices, and we expect that the prices will continue to increase for the full year. So no stop of this increase. If you call it conservative or not, we will see at the end of the year, but that is now our assumption. And yes, we are not so far away with our midpoint from what the market has expected.
Operator: Our next question comes from the line of Oliver Schwarz from Warburg Research.
Oliver Schwarz: Firstly, two questions from my side. Firstly, I heard you say that there was no income from the REKS joint venture recognized in Q1, that's obviously correct because REKS is not yet an entity. However, the assets, your assets that will form part of the REKS joint venture, obviously, will have come up with the result in Q1. Could you please disclose sales and earnings for these activities, please?
Burkhard Lohr: Yes. That's the business that we are running now is the business that we run in the past. And the only indication that we are -- were giving were that we are having annual EBITDA of roughly €20 million out of that business. And it's in that ballpark for the first quarter. Of course, a portion of Q1 is in that ballpark. We wouldn't like to disclose more than this. Maybe we think about doing more in the future when the joint venture is effective.
Oliver Schwarz: Excellent. Second question, I heard you say that part of your plan of your mission statement or your new strategy is that all sites are planned to be profitable even in a low price environment. Could you firstly specify what you mean by a low price environment? And secondly, is that profitable on an EBITDA basis, EBIT I or EBIT basis or on a net income basis, please?
Burkhard Lohr: Yes. Thanks for that question. When we talk about the low price environment, we think about a year like 2020. So that was really a very stressed year, and we want to be able to have a free cash flow positive situation on all sites. And of course, the entire group has to be free cash flow positive. And we are working on measures to get there, and we are very convinced to get this to achieve this latest by 2023. And if you translate that into earnings, all our mines are EBITDA positive. And this is also the case for EBIT. This year will -- Bethune will be achieving the breakeven on an EBIT base. So that is not our problem. The problem is the high amount of CapEx, especially in the Werra side. And we will find a way to be positive even on a free cash flow level.
Oliver Schwarz: Understood. I was just more thinking along the lines, this is a strategy, so it's obviously not just attune to 1 year, in that case 2023, but also in the years and other years to come beyond that. And given that your mine, especially your German mines, not so much, obviously, the Canadian mines are aging. Some mines in the future, obviously, will have it harder and harder to reach that target. That was my line of thinking.
Burkhard Lohr: Yes. Of course, this is not only an achievement for 2023. We want to be ready for all downturns, and we will see some cycles in the market to be able to achieve that. Yes, our mines are aging, but that means we will have a continuous optimization program on all mines. And there are always opportunities to work against cost inflation. And we are very optimistic to achieve that.
Operator: We now have a question from the line of Andreas Heine from Stifel.
Andreas Heine: Yes. It's basically only one. I'd like to understand a little bit more the price trends you see and you expect for Europe, that is usually the region where the volatility in prices is least. And that means when prices are pretty low, then Europe stands up being higher. But now they are quite considerably lagging what we see in the U.S. market and Latin American market. As we have quite a strong share in Europe and are probably price leader, I would like to learn more how you see the European pricing and also the specialty pricing going forward.
Burkhard Lohr: Yes. Thanks for the question. Part of the answer you have given by yourself already. Volatility is much lower here. And when the prices went down, especially in Brazilian and Southeast Asian areas, we saw quite a stability in the European prices. And frankly, we expected to see weaker prices in Q1 in Europe, which was not the case. And that makes us optimistic that with a bit of delay, but still in this year, we will see increasing prices in Europe as well, not on the level that we see overseas, but on a very nice sustainable level.
Andreas Heine: Let's say, by the end of this year, if you take current prices in Brazil and translate them into Europe, is that too positive for European MOP price by the end of this year?
Burkhard Lohr: Yes, that is too positive. It's -- okay.
Operator: We now have a question from the line of Adrien Tamagno from Berenberg.
Adrien Tamagno: The first one relates to previous question around the restructuring of the German mines. So we think restructuring, closing of mines, is it some opportunities coming with the JV with REKS or some digital mining improvement there?
Burkhard Lohr: Yes. So we are not seeing to close one of our mines earlier than expected because there's still a lot of potential. And you know that all our specialties are produced here in Germany. Yes, REKS is a big game-changer because we will release costs that we had expected in the future due to the obligation to cover the tilings -- tailings piles with the business model, and we can even gain money from doing this. And that's a big game-changer for us, and that changes the perspective of our German mines as well. But we also have a lot of ideas, not only short term, but mid- and long term to optimize things and to improve the free cash flow strength of our German mines. Again, we have no earnings problem. We have a free cash flow problem and not on all mines. And we believe that we will be able to handle the situation to be very profitable, very cash-rich and to avoid any closing, which comes earlier than expected.
Adrien Tamagno: Okay. With regards to your EBITDA guidance, it seems not to imply a renegotiation of the Chinese contract. So why would not -- would this not be the case?
Burkhard Lohr: Yes, I'm not sure if I got the question right, but I'll try to answer what I understood. So other than the Indian contract, we are not seeing the Chinese contract to be renegotiated. They are in a completely different situation. They are a bigger importer. They have higher inventories, not very high, but high enough to at least use it for the rest of this year, but we expect a new contract in China not only in 2022, maybe even at the end of this year, and that then should show at a higher price than the current one.
Adrien Tamagno: Okay. No, that was the question. So that's okay. And then the last one is on the leverage. What sort of leverage you would be comfortable with -- from 2022 onwards from the new rules?
Thorsten Boeckers: Yes. I mean with the proceeds now and paying down gross debt, we fall for 2020 well below the 2x net debt -- net financial debt to EBITDA. And we will do our utmost to achieve a neutral to positive free cash flow in 2022. So we should see leverage around that.
Operator: Our next question comes from the line of Thomas Swoboda from Societe Generale.
Thomas Swoboda: I have two questions, please, hopefully short. First, a clarification on your -- on the headwind from the freight costs. You said around about a €40 million headwind this year. I'm interested whether you are protected partially from the increasing prices by contracts. Vice versa if those high freight costs continue, would there be a negative base effect for next year?
Burkhard Lohr: Yes. Thank you, Mr. Swoboda. You asked for short answers. The answer is yes, we are protected. And the number would have been much higher without these protections and these are not long-term, but mid-term contracts on freight. But on the other hand, we're not expecting to see that situation to significantly escalate further and to last forever. So this is obviously that the world economies are restarting, and that has an impact on freight. And hopefully, we are fine with this €40 million for this year.
Thomas Swoboda: The second question is on the factoring of your receivables. Given the improvement in your leverage post the sale of the Americas, is your strategy here changing? Could you give us any indication whether you're keeping the factoring stable, increasing or decreasing going forward?
Thorsten Boeckers: Yes. Thomas, it's, for us, a nice instrument to manage working capital, and we have not introduced working capital measures and factoring last year just to cancel it this year again. So we will certainly hold it on a certain level. But this is also part of my earlier answer. We are still in the process of analyzing what's the best use of cash. And this is certainly -- review of this is certainly part of it.
Operator: We now have a question from the line of Stephanie Vincent from JPMorgan.
Stephanie Vincent: Just a couple of housekeeping questions, if I may. The first one on the use of proceeds. You talked about paying back the Schuldschein syndicated RCF as well. Can you just tell the amounts, respectively, that you've repaid with the proceeds of the Americas sale?
Thorsten Boeckers: The main maturities were €220 million, and another €190 million from further maturities this year and in the next year. So it was about €400 million in total for Schuldschein.
Stephanie Vincent: Okay. That's great. And then more of a cash flow questions, if I may, just your outlook for this year. Can you discuss your view about working capital as well as severance, if those items have been updated at all from the last call?
Thorsten Boeckers: Yes. With regard to severance, I think it's relatively clear. We said we set aside €40 million for the SG&A restructuring program. And part of this has been paid in the first quarter and part will -- or most of the rest will be paid in the second quarter. So this is a negative for this year, but then not recurring, of course. And with regard to working capital, well, we're still actively managing it, of course. We have done, I think, the main parts in the last 2 years, especially last year. We will see a negative impact on working capital this year, but this has to do with the higher volumes we see and especially with the increasing prices. So you will see a negative effect on receivables that will reduce the cash flow.
Stephanie Vincent: Okay. That's great. And then finally, what -- with the sale of the Americas unit, what is your view on minimum cash and liquidity that you need to hold on balance sheet?
Thorsten Boeckers: Yes. It hasn't changed much. I would say so a number of €100 million approximately should be on our balance sheet in order to finance the operating business on a day-to-day basis.
Operator: We now have a question from Andrew Stott from UBS.
Andrew Stott: I'll start with the first one. Do you have any hard guidance for the marketing and general costs? It was down about 10% year-on-year. I guess some of that's the benefits of the restructuring. Is there an annual guidance you can provide for that? Just staying with costs, it's the same question really...
Thorsten Boeckers: Andrew, can you repeat that? It -- background, I didn't understand.
Andrew Stott: Yes. So in the P&L, your marketing costs, your marketing and general costs are down just over 10%, $45 million. Is there any hard guidance for the full year?
Thorsten Boeckers: Yes. It's mainly related to the SG&A restructuring, right? And we have seen also the number of FTEs going down. So we expect for this year -- or let me phrase it differently. We expect on a steady-state basis €60 million savings from the SG&A program, and this will be reported in that line. And we will see the majority of this benefiting the EBITDA already this year. And this is the main reason for the decline.
Andrew Stott: Okay. So I should expect that to come down more year-on-year in the coming quarters, that's the message, yes?
Thorsten Boeckers: Yes, correct, Andrew.
Andrew Stott: Yes. So and then on energy costs, go back to -- I'm sorry if I missed this, there were some problems with the audience. On the slide where you're talking about costs, you talked that -- you said that freight was €40 million unchanged, I heard that clearly. Could you talk about energy costs, which I think you'd said back in March was going to be €30 million higher?
Burkhard Lohr: No. But to my knowledge, we are expecting -- and this is only the price effect. We are expecting to see a €20 million higher energy costs than last year. And here, the amount of -- or the portion, which is already locked in is higher than in the freight. That is one reason why energy inflation is much lower than the freight.
Andrew Stott: Okay. Got it. My next question is the pension provision. We've seen many companies pension provisions coming down. Sequentially, yield is sort of unchanged. Why is that?
Burkhard Lohr: No. Our pension provisions are on a very low level anyway because we have CTA in place and the most obligations are in the CTA and the benefits, of course. But we want to keep it on that low level. It's not a really meaningful position in our balance sheet.
Andrew Stott: Yes. And sorry, I also -- it's a clumsy question. I meant the pension and mining obligations, so both of them. Would a higher interest rate not impact the mining ops as well?
Burkhard Lohr: Okay. The mining obligation, of course, that is another animal. That is a big portion. And that will decrease with higher interest rates. A good portion of this obligation is boosted by this long time low interest rates. And we have very long-lasting obligations that have significant impact. So if interest rates would go up, that would reduce our mining obligations significantly.
Andrew Stott: Okay. And my final question, sorry. CapEx for 2022, Thorsten, I heard you say your ambition is to be neutral to positive for free cash flow for next year. What's the CapEx number you're working with for that?
Thorsten Boeckers: Yes. I also said that for 2021, we expect about the same level as last year, but we expect already a small progress here in 2021, but -- 2022, yes. So we will see CapEx going down by, let's say, €50 million in 2022 year-over-year.
Operator: We now have a follow-up question from the line of Lisa de Neve from Morgan Stanley.
Lisa De Neve: Just a small one for me. We tend to compare to some of your peers, who have noted actually quite strong order book for the way in September. And I'm just wondering if you have any sort of level of order book or what you're seeing on sort of volume commitments from distributors and consumers being farmers into the season? That's my one. Any comments here, that would be helpful.
Burkhard Lohr: We have almost no order book prior to this. The business is more or less a spot business. And even where we have contracts for half a year or 6 months, it's always only the price is set, but the volumes are not set. So long story short, we have no order book, which could be interpreted in this or that way.
Lisa De Neve: Okay. So actually, any increase in the prices you're going to see in the market will be -- should be positive for -- I mean, it should be something that's positive for you in the coming EBITDA quarters?
Burkhard Lohr: Yes, the price development, you can read out of capacities in the market, the crop price development and some other indicators, but not out of our current order situation.
Operator: We also have a follow-up question from the line of Oliver Schwarz from Warburg Research.
Oliver Schwarz: Two questions from my side remaining. You can relax, they're more of a esoteric nature. Going to your mission statement, the 5 paradigms you stated there. What needs to change from how you did business up to now to fulfill all those 5 points? Or to rephrase that, is there something new in there that you didn't do before that you need to do in the future differently?
Burkhard Lohr: Yes, that's very -- actually a very good question. And I think what this company needs to learn is that we are no longer DAX company, a global -- with a global set of mines and activities all over the world. We are a midsized company with a clear focus on agriculture and a smaller industry business. And that is a change of mindset that we need to transform in the -- over the management into the heads of all our employees. And the second part of your question was, out of the 5 bullets, some, of course, are not new, but we want to remember that we are focusing on. We are a mining company, we have to work sustainably, and we are working for generations. That is the information to the market, the sustainability, but to our employees as well. We have many families who have been working in generations for K+S. And hopefully, they will do so in the future. What's really new in the mission statement is that we are recognizing our incredible infrastructure as a potential source for future new businesses. REKS is an example that there will be much more especially around renewable energies. We are the last meaningful active mining company in Germany, and you know what's required for some ideas around energy, and I think we can deliver a lot to that. That is something we are working on. And don't be surprised, this will be an important part of our new strategy.
Oliver Schwarz: So we will see solar panels in the mine. But you already tapped into my second question because that was focused on strategy. I was wondering if you could expand on further developing growth options and tapping into new business areas. But I think you already teased that you wanted to expand more into renewable energy activities. Is there any other topic you would like to share with us that you're also considering tapping into or expanding into?
Burkhard Lohr: We are working on a lot of ideas, but please give me the chance to tell you something new in late summer this year. If I would now elaborate on all our ideas, I think it's too premature because now we have vision and mission, but we do not have the full-fledged strategy and that requires still some time.
Operator: Thank you very much, everybody. That was our last question for today. So I'd now like to hand back to Dr. Burkhard Lohr for the conclusion of the call. Please go ahead.
Burkhard Lohr: Yes. Thank you, everybody, for joining us today. We are looking forward to seeing you soon again. Maybe you have the chance to look into our AGM tomorrow, would be highly appreciated. Bye-bye.
Operator: Thank you very much for joining today's call. You may now disconnect. This concludes the call.